Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc.'s Q4 2025 Conference Call. Today's call is hosted by Nitin Jain, President and Chief Executive Officer; and David Hung, Chief Financial Officer and Executive Vice President, Investments of Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking, and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and Risk Factors section in the company's public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the company's results in its MD&A and financial statements for the period, which are posted on SEDAR+ and can be found on the company's website, siennaliving.ca. Today's call is being recorded, and a replay will be available. Instructions for accessing the call are posted on the company's website, and the details are provided in the company's news release. The company has posted slides, which accompany the host remarks on the company website under Events and Presentations. With that, I will turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, Audra. Good morning, everyone, and thank you for joining us today. 2025 was a year of long-term value creation for Sienna. We added over $800 million of assets to our platform, ended the year with strong organic growth for the 12th consecutive quarter and enhanced Sienna's balance sheet with the continued support of the capital markets. We issued nearly $700 million of equity and debt with each issuance being met with strong investor demand. We also expanded our workforce by adding approximately 2,000 team members and further deepen our impact in the communities we serve. These achievements have increased the scale and quality of Sienna's diversified platform and positioned the company well for continued growth at a compelling time in Canadian senior living. During the fourth quarter, both operating platforms delivered strong results and continued to -- and contributed to the successful finish to the year. Same-property NOI increased by 15.4% in the Retirement segment and by 5.6% in Long-Term Care. Key driver of the double-digit increase in the Retirement segment were the continued occupancy increase and rental rate growth. Average same-property occupancy was up by 180 basis points year-over-year and has reached 94.7% in the fourth quarter. Following the quarter, monthly occupancy was 95.2% in January. The result of Sienna's Retirement segment also reflect higher care revenue. We apply our expertise in clinical care at our Retirement platform, which allows residents to stay with us longer as their care needs change. Beyond the strong same-property performance in our Retirement segment, we are pleased with the results of the company's optimization portfolio. This portfolio includes assets that are undergoing renovations, changes in service offerings or the addition of new services. Occupancy increased by 790 basis points year-over-year in the optimization portfolio in Q4 and NOI grew by 22.1%. Our focus on better positioning assets within the local markets is clearly delivering results. Additional key driver behind the strong performance of Retirement operations are a robust sales platform and focused marketing campaigns. Year-over-year, call center leads grew by over 50% in the fourth quarter, and the number of tours in our properties have increased each quarter in 2025. We also maintain a robust focus on hospital outreach and excellent relationships with health care partners in the local communities where we operate. All of these initiatives are expected to drive strong lead generation and future move-ins. With respect to Sienna's Long-Term Care operations, fully occupied homes with growing wait lists, higher revenue from private accommodations and annual inflationary government funding increases all added to the strength of the results. Sienna's government-funded Long-Term Care operations add significant value to our business and provide stability given that they are largely insulated from market volatility or economic uncertainty. Now moving to Slide 6. In Q4, we started to see the contributions from 2 recently completed development projects. We opened our redeveloped long-term care community in North Bay in September, followed by our campus of care in Brantford in October. Large-scale development projects require deep expertise and trusted partnerships. With both in place, we are excited to move forward with our next project, which will be our first in the city of Toronto. Located at our existing Glen Rouge site in Scarborough, it will be Sienna's largest project to date with 448 beds and an estimated development cost of about $250 million. The development yield for this project is approximately 7.5% to 8%. After several years of planning, the significant government funding improvements for projects in the GTA were a key driver for us to move forward. The Glen Rouge redevelopment, which is expected to be completed in 2030, will replace 363 existing beds and add 85 much needed new beds in the Scarborough community. With this development, we will further modernize and strengthen Sienna's Ontario platform and support the continued growth of company's Long-Term Care business. 2025 has been a very active year on the acquisition front. With the acquisition of 10 properties across 3 provinces, we added nearly 1,800 beds and suites to our asset base. During the fourth quarter, we finalized 3 acquisitions in Ontario, including Cawthra Gardens, a 192-bed long-term care community and LaSalle Park, 123-suite retirement residence, both located in the Greater Toronto area. In addition, we acquired Hygate, a 213-suite retirement residence in Waterloo, Ontario. These acquisitions added $193 million of assets during the final quarter of 2025, and we carried the growth momentum into 2026. Since the beginning of the year, we added another $79 million through acquisitions. We finalized the purchase of interest in 2 of our majority-owned properties in Ontario and British Columbia and signed a purchase agreement for the Bartlett, a 129-suite retirement residence in the Greater Toronto area for approximately $59.4 million, which will be financed with cash on hand. Sienna's acquisition pipeline remains strong, and we are confident to continue our significant acquisition pace in 2026. Moving to our team members. As we continue to grow, investing in Sienna's team members is fundamental to our success. With over 15,000 employees, we recognize the importance of programs that support the company's growing workforce. Sienna's strong culture of ownership and engagement played a key role in the continued reduction in turnover. Average company-wide turnover has reached a record level low of approximately 19% in 2025. Along with programs focused on team member development, recognition and rewards, our initiatives also resulted in the fifth consecutive year of increased team member engagement and further strengthen Sienna's operations. It puts us in a strong position to attract and retain the best in Canadian senior living. We are extremely proud of these achievements. They reinforce our belief that if we take good care of our team members, they will provide exceptional service to our residents and support the company's strong operating performance. Our focus on enhancing the work experience for Sienna's team members and improving resident quality of life is reflected in our most recent accreditation results from CARF, where we maintained the highest achievement status and exceeded every benchmark. This commitment is also evident in the continued improvement in the company's Net Promoter Score, which measures residents' likelihood to recommend our homes. Since introducing this measure at our retirement residences in 2023, scores have increased by well over 30% each and every year. With that, I'll turn it over to David for an update on our financial results.
David Hung: Thank you, Nitin, and good morning, everyone. I will start on Slide 10 for financial results. In my commentary, in accordance with our MD&A disclosure, I will make reference to our operating results, excluding onetime items. In Q4 2025, revenue on a proportionate basis increased by 14.2% year-over-year to $278.4 million. This increase was largely due to occupancy and rental rate growth as well as increased care revenue in the Retirement segment. Adding to the increase were the contributions from our long-term care platform, including higher flow-through funding for direct care, increased private accommodation revenue and additional revenue from acquisitions and developments completed in 2025. Same-property NOI increased by 10.1% to $47.4 million in Q4 2025, including by 15.4% in our Retirement segment and by 5.6% in our Long-Term Care segment. In the Retirement segment, same-property NOI increased by $3 million in Q4 2025 compared to last year, largely as a result of improved occupancy and rate growth. In addition, higher care revenue and maintaining a strict focus on operating expenses supported the year-over-year 300 basis point improvement in our same-property operating margin. We are also making good progress with respect to our asset optimization initiatives, which included 5 assets in the company's retirement portfolio. Q4 NOI in the optimization portfolio increased by over 22% year-over-year compared to the same period in 2024. Effective January 1, 2026, we updated the composition of the optimization portfolio and included 2 additional assets while returning 1 asset to our same-property portfolio after its successful renovation. Occupancy in this property increased from the low 80% range before its renovation to over 95% today. Based on the updated same-property portfolio composition, average monthly occupancy reached or exceeded 95% since last September. In the Long-Term Care segment, same-property NOI increased by $1.3 million. Continued improvements in private occupancy were the key driver behind the year-over-year growth. During Q4 2025, operating funds from operations increased by 24% to $34.2 million compared to last year, primarily due to higher NOI as a result of organic growth in addition to contributions from acquisitions and developments completed in 2025. Adjusted funds from operations increased by 19.8% to $27.9 million compared to last year. The increase was mainly due to higher OFFO, offset by an increase in maintenance capital expenditures. On a per share basis, OFFO and AFFO increased by 7.5% and 3.9%, respectively, in Q4 2025. Sienna's Q4 2025 AFFO payout ratio was 80.7% compared to 83.1% in Q4 2024. This improvement highlights Sienna's strong operating results and the disciplined use of capital the company raised to fund its growth. Sienna delivered consistently strong results throughout 2025. In line with Siena's 2025 growth targets, same-property NOI for the full year increased by 14.3% in the Retirement segment and by 4.8% in Long-Term Care. In addition, Sienna's strong results are reflected in the company's OFFO and AFFO in 2025, which increased by 27.1% and 25.7%, respectively, or by 5.8% and 4.7% on a per share basis. Moving to Slide 12. Throughout 2025, Sienna maintained a strong financial position and balance sheet. We ended the year with over $500 million in liquidity and $1.5 billion of unencumbered assets. We continue to have access to a broad range of capital and demand for Sienna's equity and debt remains exceptionally strong. To support Siena's growth momentum and refinance our debt, we issued $250 million of unsecured debentures in December, and we repaid our $175 million expiring debenture. With this repayment, the company has no major debt maturities until 2027. We also fully deployed our at-the-market distribution program, issuing shares for gross proceeds of approximately $101 million in Q4. And just yesterday, we announced the renewal of the ATM program. This allows the company to issue another $150 million of shares to finance its continued growth initiatives. We will carefully evaluate each opportunity and continue to finance Sienna's growth in a very disciplined manner. With that, I will turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you, David. While the broader economic and geopolitical environment remains uncertain, one long-term trend is very clear. Canada's senior population is set to grow significantly over the next 2 decades with the oldest baby boomer turning 80 this year. At the same time, senior housing is already operating at high occupancy levels in most markets and new supply is expected to remain limited for many several years. Against this backdrop, Sienna's asset increased by nearly 30% with the addition of over $800 million through acquisitions and developments. This has allowed us to add meaningful scale to Sienna's long-term care and retirement platforms, supporting both stability and attractive growth opportunities. With our operating depth, strong balance sheet and the organizational capability to execute, we believe Sienna is in the early stages of a multiyear growth phase. In the near term, this is reflected in Sienna's growth targets for 2026. We expect same-property NOI growth in excess of 10% in the Retirement segment and in the low single digits in Long-Term Care. We also expect to continue this company's significant growth through acquisitions and further strengthen Sienna's position in the sector. On behalf of our entire team and our Board of Directors, I want to thank all of you for this call and for your continued support.
Operator: [Operator Instructions] We'll take our first question from Lorne Kalmar at Desjardins.
Lorne Kalmar: Just quickly on the same-property NOI growth expectations for Retirement. Can you maybe give some color in terms of the rent growth expectations that are underpinning that?
Nitin Jain: Thank you, Lorne. Our 10% plus is made up of rental growth, care revenue increase and potential further increase in our occupancy targets. Our rental growths have been quite consistent in the 4% range, and we expect them to stay there. And we will continue to see more care revenue as residents are choosing to stay longer with us, given our -- that we are not afraid of providing more care with our depth of expertise in Long-Term Care.
Lorne Kalmar: Okay. And then maybe just turning to the growth and optimization portfolio. I think you guys are what about 13 homes now. How much NOI upside is there in that portfolio? And how long do you think it will take to realize that?
David Hung: Yes, that's a great question, Lorne. So just to clarify, within our growth and optimization portfolio, we only have 6 properties within the optimization portfolio. The others are assets that we acquired in 2025. And in terms of the potential, our margins within the optimization portfolio were around 24% in Q4, and we would expect over the medium term that they would get back towards our same-property margins.
Lorne Kalmar: Okay. And then I guess on the -- I guess the growth is kind of the ones in lease-up and the acquisitions. All right. And then maybe just quickly turning to the Glen Rouge announcement. If I read correctly, I think is Glen Rouge only 159 beds? And if so, is this development replacing multiple Class C homes?
Nitin Jain: Correct, Lorne. So it replaces Glen Rouge, and it also replaces another home nearby and adds additional capacity. We have quite a bit of land on the site, which is difficult to find in GTA. So we have 4 acres of land at Glen Rouge. So it will be combining 2 homes and adding additional beds.
Lorne Kalmar: Okay. And then maybe just one last quick one. In terms of just how do you plan to fund that development? Would that be on the operating line?
David Hung: Yes. We would be looking at some form of debt, whether it's on the operating line, potentially a construction loan or other form of debt.
Operator: And next, we'll move to Jonathan Kelcher at TD Cowen.
Jonathan Kelcher: Just continuing on the Glen Rouge development. Fair size development. Do you envision starting any more developments this year? Or is this going to be sort of given the size, it's just going to sort of carry you through for the next few years?
Nitin Jain: Jonathan, we have 2 other projects, which are getting close to shovel-ready. And so we will look at those. One of the commitments we have is not to have our balance sheet too much into development. So that is something we'll continue to manage. We're also not 30% bigger since where we were last year. So we might have a capacity to add another project. But those are some of the things we are assessing against the potential return of these new developments. So I think too early for us to commit. It's only February, but we might have an opportunity to add another one later in the year.
Jonathan Kelcher: Okay. And assuming you continue growing then next year probably for sure, just given that you'll likely be that much bigger. Is that the way to think about it?
Nitin Jain: Correct. And also, these projects take multiple years. So when you start Glen Rouge, this is going to take 2 to 3 years to complete. So if you have 2 or 3 projects at the go, we have Keswick, which we expect to complete in the later half of next year. So when that completes, it gives us more capacity to add something. So for us, it is a bit of a rolling thing of as projects get completed, we'll get started on the new ones.
Jonathan Kelcher: Okay. And I guess just switching gears on the cash taxes were a little bit lower than we had anticipated in Q4. And I guess part of that is due to the timing of acquisitions. Can you maybe give a little bit of color on that? And assuming you're going to be acquiring a similar amount of assets this year, how should we think about cash taxes in 2026?
David Hung: Sure. That's a good question, Jonathan. You're absolutely right. Our cash taxes got the benefit of the acquisitions of Hygate and LaSalle, which we did close in December of 2025. And so with the acquisition of those 2 properties, we were able to take a full year of capital cost allowance deduction and able to get a benefit of around $2 million to lower our cash taxes in Q4 of 2025. I think when -- as you -- as we're thinking about 2026, the way that I would think about it is taking 2024, which had no acquisitions and 2025, which had $800 million of acquisitions and redevelopment and using a cash tax rate that is somewhere in between those 2 years. And then, of course, we don't have any kind of forecast in terms of acquisitions for 2026. So that any additional CCA would have to be layered on top of that for potential acquisitions in this upcoming year.
Operator: We'll go next to Mark Rothschild at Canaccord Genuity.
Mark Rothschild: Maybe starting just following up on your comments with regard to Lorne to the 10% growth. What is assumed as far as occupancy increase in that? And how much more improvement in occupancy do you think you can get? So I understand the breakdown in the 10% growth from rent growth versus occupancy.
Nitin Jain: Mark, welcome to Sienna's first call for you, and thank you for your coverage. The 10%, it is a combination of those 3. And your question is very fair on where occupancy can go from here. We are, for lack of a better word, in unchartered territory because 95% occupancy has not happened in Retirement before. We continue to believe there is some opportunity to add more, whether that number is 96% or 96.5%, frankly, it's a bit too early to tell. And part of it is that at 95% occupancy, we have many homes, which are at 100%, 99%, they're running at full occupancy and then we have a few which are 93%, 94%. So I would say, at this stage, I think saying that we will be around 95% is probably a better answer than to say where it could go from here.
Mark Rothschild: Okay. Great. And maybe just one more for me. As far as the acquisitions, which clearly picked up over the past year, just talk a little bit about how the accretion would look -- potential accretion would look on acquisitions in the current environment at the cap rates that you're going to have to pay. To what extent does the cost of equity, a higher share price that you have now help or is needed for these acquisitions? And also, does the fact that you can use partners, maybe earn additional fees, what helps push it into be more accretive?
Nitin Jain: I think your answer is in the question you asked, Mark, it's a combination of quite a few of those things. We are very sensitive about partners. We have very few select partners that we continue to work with, including Sabra, which is our biggest partnership and with Reichmann, where we have now 2 partnerships where it's difficult to find people who think the same way and are aligned, but we're fortunate to have 2 partners such as those. So I wouldn't see us getting big into partnerships just to earn management fees. I think our goal would be to do partnership that makes strategic sense. End of the day, we are owners and operators of senior living. And cap rates reflect what is happening in the public market as well. And whenever we underwrite something, we're underwriting it for the long term. So we're very focused on ensuring each property is assessed on a debt-neutral basis because it is always easy to buy something just on debt. So I think it's, for a lack of better word, business as usual. We see a decline in cap rates. We just bought the senior apartment building at 5.75% cap rate, which we would not have done 4 years back because we were trading differently. But market is recognizing that there is a cap rate differential. And we feel there is still a big gap into where long-term care cap rates are, for example, and where -- what we're seeing in the public space where a lot of people will assess it in 7% plus, and we haven't found a single long-term care home for sale above 7%. They're more in the 6.5% to 6.75% range.
Operator: We'll move next to Tom Callaghan at BMO Capital Markets.
Tom Callaghan: Maybe just sticking with the acquisition side of things. Can you just talk a little bit about the pipeline today and whether or not that's weighted towards one side of the business versus the other? And then maybe just geographically speaking, where you see the most opportunity?
David Hung: Yes. No, thanks, Tom, for that question. Because we are a diversified company, we operate both in Long-Term Care and Retirement. We actually are seeing opportunities in both lines of businesses, and we continue to pursue acquisitions in both lines of businesses. In terms of where we're finding opportunities, they actually are across all the provinces that we operate, Ontario, Alberta, BC. And we are quite selective in terms of what we're looking for. But the pipeline remains robust, and we continue to be actively looking for opportunities.
Tom Callaghan: Okay. Got it. And then maybe just to build on that, like do you have a preference geographically speaking, like when you evaluate these different opportunities? Obviously, almost a year ago now, you entered into Alberta. So just how are you thinking about capital allocation from a geographic perspective as you work through these opportunities?
Nitin Jain: Tom, we don't really have an allocation at this stage. But I guess, broadly speaking, we don't -- we have 1 retirement home in Alberta, which we manage for Sabra. We don't own any. So I think if you buy 2, we'll suddenly grow up by 200% there. So we find Alberta to have a lot of opportunity because we're not there yet. We only have 4 Long-Term Care homes. In Ontario, we have quite a bit of Long-Term Care and Retirement homes. But there are also a lot more opportunities in Ontario. So I think it's a bit hard to tell you. For us, the bigger focus is making sure it's a big enough building, the age of the building, the location of the building, the size of the population that is in the market area. So for us, that is more important versus which geography we might be in. And as David mentioned, the fact we can drive on both lanes on the highway of Long-Term Care and Retirement, that has been very effective for us.
Tom Callaghan: Got it. Makes sense. Maybe just last one for me on the expense side of things, like growth has clearly moderated there, agency staffing down materially. And Nitin, I think you mentioned turnover at record loads in Q4 there. So just how are you thinking about overall expense growth into 2026? And are there areas where you see opportunity for further efficiency gains?
David Hung: Yes. I mean the way we're looking at 2026 is that our operating expenses would be relatively in line with inflation. We think we've done a really good job at being efficient with respect to our expenses. So I wouldn't say that there'd be a lot more areas of opportunity, let's say, in agency or whatnot. But we would continue to be very disciplined with our costs, and it would grow in line with inflation.
Operator: And we'll go next to Himanshu Gupta at Scotiabank.
Himanshu Gupta: So first on Retirement home occupancy, anything on the flu season? How did that impact? How did you handle? And then how is the February or March occupancy looking like?
Nitin Jain: Himanshu, so we are not seeing a huge impact of the flu season seasonality. We haven't disclosed February and March results yet. We might see some softness here or there. And I think I would say this would be across the whole year in question which was asked earlier, where do we go from here? In our mind, when you're at 95% occupancy, you're running pretty close to perfection. So if we -- let's say, if we have a month which is 94.5%, and I'm not foreshadowing what February, March would be, I'm using it as an example, I would think more of it is that this is just -- in our mind, 94.5% or 95.5% is pretty close to what 95% occupancy looks like. And the goal is to inch towards an average of 96% throughout the year as we progress because that would be the next milestone, I guess. So -- but we don't think that's more seasonality. I would say that's just more an idea of you have many homes which are running at 100% if they run at 98%, they're still excellent operations, but it might reduce your occupancy by a few 10, 20 basis points.
Himanshu Gupta: Okay. Fair enough. So nothing meaningful at such impact from flu season. Okay. Fair enough. And then moving from stabilized to kind of growth portfolio, how is the lease-up coming on the Hygate property in Waterloo? Like what kind of expectation do you have for stabilization there?
Nitin Jain: We don't really get into individual property, but we are -- we had a certain expectation from underwriting, let's say, it's 18 months or so to stabilize from 60% to 95% plus. We are well on our way. We had some good early wins on that property. So it's tracking what we -- where we thought it would be, if not a little bit better.
Himanshu Gupta: Got it. I mean the reason I ask, is that like a template for your kind of growth portfolio, like the time frame to stabilize this property from like 65% or 70% to like 95%, like 18 months or so, like fair to say that?
Nitin Jain: I guess it is fair to say that, but the reality is this is a one-off. And what I mean by that is rest of the properties we bought were way ahead in occupancy. The Bartlett is close to 97%. So if you find something a lower occupancy, yes, I think that's a reasonable thing that we can potentially get at least a faster given our scale, if you're buying from an individual owner operator. But it really is a mix of things in Hygate, we think that opportunity exists. But for many others, we bought them at near stabilization. And I think that's a good diverse mix where you have some which are accretive right away, and there's some which will have accretion in 18 months or 24 months, but you will have an opportunity to have a bit extra, which is -- would be the case in Hygate.
Himanshu Gupta: Got it. Okay. And then on the optimization, I think, David, you mentioned 24% margins in Q4. And did you give any time frame of getting to that like similar to same property margin?
David Hung: No, we haven't given any time frames. But what I would say is that we are continually working on our optimization portfolio. Case in point, we had one property that we did significant renovations to, and we were able to get the occupancy from 80% to 95%. And so we've moved that out of the portfolio. Now that being said, we also moved 2 in. So we're going to, on an ongoing basis, have maybe 1 or 2 movements within the optimization portfolio. But our intention is to get them out of the optimization portfolio as soon as possible.
Himanshu Gupta: Got it. Okay. Fantastic. Maybe just the last question now. I mean, the Popular Toronto Glen Rouge project you announced. I mean if I look at the development yield, it's very similar to North Bay or maybe slightly lower than North Bay. While the government funding has increased significantly in that project in GDA now. I mean, I would have thought like yield would have been even higher than North Bay. Just can you elaborate, is there a reason it's 7.5% to 8% here?
Nitin Jain: Sure, Himanshu. The whole idea is I think we should expect similar yields what we saw in North Bay, which was close to 8%. We would see similar for GTA projects. When the funding went up significantly, it wasn't that projects had a 7% yield and the idea was to get them to 10%. The reason government increased the construction funding significantly is that prior to that increase, projects were not viable, like your yields were 4%. So doubling it will get it to 7.5%, 8%. And some of it, it just -- this will take a bit longer. The number of beds, you're adding new versus old. So that all goes into the math. But in our mind, if you are around in that 8% range, that's probably a good expectation, what you should expect from Long-Term Care projects development regardless of where they are in the province. And the funding reflects that.
Operator: We'll go next to Giuliano Thornhill at National Bank.
Giuliano Thornhill: I just had a question on the guidance. Might not provide something more like tighten? And is this you being cautious? Or are you kind of more unsure of the improvements in the remainder of the same property portfolio that's unoccupied?
Nitin Jain: Giuliano, I wouldn't call it cautious. I mean this is beginning of the year, we expect 10% plus Retirement thing, which in our mind is realistic and low single digits for Long-Term Care. And without getting into, is it exactly $600 million and $200 million of development, our idea is that last year was not an anomaly, and we should expect a year of growth. So I wouldn't call it conservative or optimistic. I would call it realistic at this stage. And if numbers get better, we'll update our outlook at that point.
Giuliano Thornhill: And would you describe the kind of unoccupied portfolio as similar quality as the already occupied kind of stuff? Or is it -- like is the pace of leasing going to be similar to what we've seen historically?
Nitin Jain: Yes, the pace of leasing would be similar. And case in point would be we had one property which we removed from optimization because it got fully optimized. And we put 2 new in. And there's a chance that something which is running at 95% plus in 4 years from now might go back into optimization portfolio. Case in point, we have a property in Ottawa -- sorry, in Kingston, which is doing well, but we realize there's a good amount of competition. We need to add more care. It needs a much intense renovation, which is hard to do without closing down the suites. So we put it back into optimization. And when it will come back, our goal is it will get to 95% plus. So some of it is continued occupancy gains in the homes, which are not 90%. Some of it might be of homes which are delivering at 95% plus. But we know all of them have a life cycle in especially Retirement homes. Similar to hotels, you need to go through renovations at a certain period of time, and we will continue to see that in our Retirement portfolio.
Giuliano Thornhill: And yes, just going to the optimization portfolio. I'm just wondering, is that win that you had during the year, that 10% kind of occupancy uptick, is that like out of the normal? Can you expect that for the remainder that are in there? Or like over 12 months, that's a pretty big increase. So I'm just wondering if that's what we should expect for what's being moved into there.
David Hung: Yes. I think that -- I mean, it was a significant increase over the last year. But that being said, I mean, we were working off of a relatively low base. So the fact that we increased our NOI by 22% year-over-year was off of a low base. We would expect that going forward, we would continue to have outsized growth relative to our same-property portfolio just because there's so much more opportunity in those properties.
Giuliano Thornhill: Okay. And just the last one that I had is I'm just wondering for the GTA project that was announced, are any of the costs recognized for the land recognized on your balance sheet? And also, where did the incremental beds come from?
David Hung: I can comment on the land, which the land is on existing land for the property that we own. So there is no incremental cost for that. We already own it. So that's just part of our inherent cost.
Nitin Jain: And this project, we put an application -- we have been working on this project for the last 4 years. So we put an application for 448 beds 4 years ago with the intention one day that things will work out and we will build, and that has happened now. So we had the additional licenses that were given to us to build this.
Operator: Next, we'll move to Sairam Srinivas at ATB Cormark Capital Markets.
Sairam Srinivas: Congrats on a good quarter. Most of my questions have already been answered over here, but I just want to ask a quick question on supply. There's a bit of a narrative that we are seeing -- starting to see some starts this year with hope that you'll probably see some buildup in supply towards '29, '30. Going with your experience on development and retirement, are you seeing economic trends finally pan up to a point where we could see supply take off? And are you seeing supply kind of build up in some of your markets here?
Nitin Jain: On the question of supply, there was quite a bit that is coming on supply. I would just maybe talk about 4 or 5 different things. One is, as numbers get better, there would be an opportunity to develop, and we just did one in Brantford, which is open, which is a campus of care. Given our demographics, knowing that Retirement homes at 95% occupancy, and there are quite a few Retirement homes which will get obsolete. We don't own any one of them. The reality is we do need more Retirement homes. So I think new supply is not a bad thing just from a community perspective because we need more Retirement space. We are not seeing massive builds of Retirement build. These projects do take a long period of time. So if you and I put our money together and we buy land, I think it's probably 18 months from today to start construction and then 24 months after that for it to open. So even if there was a lot of supply, which we're not seeing at that moment, you are 3 years away from it impacting any part of the market. And again, we have to factor in the demographic change because we are now in a place where baby boomers are coming into senior living. And we also have to factor in the obsolete retirement homes, which would no longer be needed. So I think it's -- getting new supply is a good thing. It is not coming in fast. The other thing which has changed is we remember buying an 80-bed Retirement home for $16 million. So it was a very different cost to build. It was a very different cost to buy. We are now buying properties close to $100 million a home. So it is not a development business for someone who sold something and now wants to get into Retirement business, these projects have become complex. They have become bigger. They have become a lot more expensive. So you will see a lot more sophisticated senior living providers started to build. And for them, they want to make sure the numbers pan out. So I think there will be a lot more discipline than you might have seen in the past.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.